Operator: Good morning and welcome to the J.M. Smucker Company's fiscal 2022 first quarter earnings question-and-answer session. This conference is being recorded. [Operator Instructions] I will now turn the conference over to Aaron Broholm, Vice President, Investor Relations. Please go ahead, sir. 
Aaron Broholm: Thank you. Good morning and thank you for joining our fiscal 2022 first quarter earnings question-and-answer session. I hope everyone has had a chance to review our results as detailed in this morning's press release and management's prerecorded remarks which are available on our corporate website at jmsmucker.com. Additionally, we will post an audio replay of this call at the conclusion of this morning's Q&A session.  
 During today's call, we will make forward-looking statements that reflect our current expectations about future plans and performance. These statements rely on assumptions and estimates, and actual results may differ materially due to risks and uncertainties. Additionally, we use non-GAAP results to evaluate performance internally. I encourage you to read the full disclosure concerning forward-looking statements and details on our non-GAAP measures in this morning's press release.  
 Available today on the call is Mark Smucker, President and Chief Executive Officer; and Tucker Marshall, Chief Financial Officer. We will now open the call for questions. Operator, please queue up the first question. 
Operator: [Operator Instructions] Our first question today is coming from Andrew Lazar from Barclays. 
Andrew Lazar: I guess -- I'm sure there'll be plenty of discussion around inflation and cost and pricing and whatnot. So I'd like to focus a bit on your prepared remarks on the recovery of the Nutrish brand, which is lagging expectations. You mentioned currently evaluating additional actions to better position the business. I guess, are you able to unpack that a bit more for us? Are we talking about further potential portfolio sort of optimization moves or repositioning the brand or its pricing position in the category or really something else entirely? I'm just trying to get a better handle on sort of why it's lagging and what actions are being contemplated? 
Mark Smucker: Sure, Andrew. Thanks for the question. It's Mark Smucker. Let me just make a couple of very brief comments just about the business in general, and I will answer the Nutrish question. I just want to acknowledge, first of all, that we are very pleased with the results this quarter. It's our sixth quarter in a row of meeting or exceeding expectations. If you look at in the prepared remarks and you back out some of the noise in terms of divestitures and really look at an apples-to-apples, the total company grew 1%. All of our U.S. businesses grew and on a 2-year stack, we saw that 6% top line growth.  
 So the point here is that underlying business fundamentals remain strong, demand is still there. Our investments almost across every part of our business are working. Our brands are strong. I mean just looking at the share growth, 2/3 of our portfolio are growing. A couple of years ago, that was like 1/4 of our brands were growing. So we are very pleased with the progress and the way we've been able to execute throughout the last -- particularly the last 18 months in the pandemic.  
 And so really one of the only spots where we have not been satisfied is on Nutrish dry dog. Even the pet business itself grew in line with our algorithm. If you look on a 2-year stack, it's about a 3% growth. And we've said our algorithm is 3% to 4%. So we have been meeting that and seeing growth in dog snacks and cat food, et cetera. So really, we're isolated to Nutrish dry dog. We do remain committed to the brand. We have continued our portfolio and packaging optimizations.  
 We are -- it's still at the early stages of the Big Life launch. So we clearly believe that there is still potential for the brand. Specifically, though, we have not been satisfied with some of our marketing investments and feel that they have not delivered the requisite return. And so we are actually pulling back on some of those marketing investments, still supporting the master brand and Big Life, but making sure that the dollars we're spending there are truly going to make a difference, and we're going to pull back temporarily and reevaluate some of those investments. And so that's why we said the full recovery of the Nutrish brand will be delayed throughout the remainder of this fiscal year. 
Operator: Our next question is coming from Ken Goldman from JPMorgan. 
Kenneth Goldman: I wanted to just dig in a little bit. One of the questions we're getting this morning is, not only on the first quarter but on the second quarter, the timing of shipments versus what we saw at Nielsen or really just takeaway overall beyond Nielsen as well. First, was there any mismatch between those 2 in the quarter just reported? And then does your outlook for the second quarter include any assumption that maybe some of your customers will buy a little bit ahead of some announced price increases? 
Tucker Marshall: Ken, as it relates to first quarter shipments, the first quarter from a big picture perspective came in line with expectations. But we did have 2 areas that were a bit softer than anticipated. One, due to labor and transportation issues throughout the entire network, there were some shipments left on the dock that occurred at the end of July that should pick up into August. And secondly, due to some specific situations with 2 e-commerce retailers, e-comm in the quarter was a little bit softer. So we would anticipate in the second quarter and beyond shipments to recover and then also a bit of return in the e-commerce channel. 
Kenneth Goldman: Okay, great. That's helpful. And then just quickly to follow-up on something. I appreciate you don't buy forward or hedge everything out. You may still have some exposure to spot markets each quarter. But I'm a little surprised why the near-term headwind is this much worse, right, in particular, for 2Q. So is there any way to help us order or size some of the incremental cost challenges, right, whether it's direct inputs for food stocks or packaging or labor? Just so we better understand a little bit what's hitting you harder than you initially thought. 
Tucker Marshall: Ken, as we came into the fiscal year, we were anticipating mid single-digit cost inflation as a percent of our total cost of goods sold. Now we're seeing high single-digit cost inflation as a percentage of our total cost of goods sold. The change from our initial expectation is really driven within our commodity ingredients area, transportation and then packaging.  
 And when you think of commodity ingredients, there have been a few factors that have been driving that. One is weather-related, so that would impact coffee, particularly with Brazil weather patterns. The second was also weather patterns in the West, specifically the Pacific Northwest that impacted fruit. So those are 2 areas of commodities or ingredients where we've seen inflation come through, particularly in the second half of our fiscal year. Transportation, due to the volatility and tightness of supply chain, continues to be real not only from a labor standpoint but also from a unit standpoint, and just an overall sort of backlog in the system that has persisted throughout the entire pandemic. And then on the packaging front, packaging continues to have the implications of just ongoing pricing pressures that continue candidly from the weather disruption that occurred in the winter time frame in Texas due to the freeze.  
 And so as a result of this persistent inflation, we continue to manage through very effectively not only through our supply chain and relationships with our suppliers and the great work by our teams, but we've got to acknowledge this inflation in our P&L and we need to recover it. And we are going to recover it through additional pricing actions this fiscal year that we anticipate in the second and third quarters in order to recover that. So we do believe this is a timing impact. And as a result of the timing impact, it should have pressure on the margin that we noted as well. But I do want to acknowledge 2 things. We remain confident in the way we've executed throughout the entire pandemic, and we will going forward. And I also want to acknowledge that this is not a symptom specific to Smucker. Candidly, this is a symptom specific to the entire economy. 
Operator: Our next question is coming from Chris Growe from Stifel. 
Christopher Growe: I just had a quick question to follow up on some of the supply chain issues and kind of the labor-related issues. I guess I want to understand the degree to which those are an incremental factor in the lower gross margin outlook in relation to the inflation, is there one that's more than the other? Just how to frame those 2 in relation to the gross margin softness you're going to see relative to your previous guidance? 
Tucker Marshall: Chris, definitely, there are 2 factors that are driving the inflationary environment for us. One is just the underlying input commodity and ingredient. The second is transportation, as you have noted. And that has been a persistent headwind not only last fiscal year but it continues to be one this fiscal year. And again, it is predominantly driven by the availability of labor and it's also driven, to some extent, by the capacity of the system.  
 And so that's what we continue to manage through. We have been very successful in managing not only our long-term contracts but also our spot rate contracts as well. We continue to do our best. But as you bring material in, as you produce and you ship material out, the entire network right now is impacted from a transportation standpoint. And it is material. 
Christopher Growe: And so, Tucker, that transportation factor, is that half the gross margin decline? Is it that big? Or ingredient is a bigger factor? I'm just trying to get a relative size on how big each one could be? 
Tucker Marshall: No. The commodity and ingredient would be the leading factor. A very close secondary factor would be transportation and packaging if you're thinking in terms of order of magnitude. 
Christopher Growe: Okay. And then just a follow-on to that. Is this something that you can price to? And I mean from a high level, not looking at next quarter but just in general, do you view these costs as transitory? Or can you -- is there another round of pricing? Or are you adjusting your pricing increases to account for this incremental cost you're bearing? 
Mark Smucker: Sure, Chris. This is Mark. As we think about cost and pricing recovery, we really try to take a holistic view and make sure that, as we've said before, are working with our retail customers in a prudent and fair way to recover essentially the aggregate costs. And so when we look at costs and how they impact the finished product, we really look at that in totality. And as we go forward with our retail partners, just making sure that we have an open and transparent dialogue of what needs to happen so that we can indeed recover those costs through our entire tool kit, whether that's list price, net revenue optimization or what have you. 
Operator: Our next question is coming from Bryan Spillane from Bank of America. 
Bryan Spillane: So I guess just a coffee -- or a question more specific to coffee and actually 2. One is just it sounds like -- or maybe I want to clarify that even coffee costs in the quarter were running higher. And I guess the fact that it's going to hit you seemingly reasonably soon, does it suggest that just maybe your hedges were at the end? Or you weren't hedged out as long as you normally were? Just trying to understand the dynamic of green coffee costs have clearly moved, but it seems to be impacting you pretty quickly. And so just if you can kind of walk us through I guess how you were positioned or hedged for higher coffee costs. 
Tucker Marshall: Bryan, as it relates to our cost position for the year, as we said, coming into our fiscal year, we knew that we would have year-over-year cost inflation, which was inclusive of our coffee portfolio as well. And we knew that, that inflation was going to begin to hit us on a 12-month basis and that we were taking initial pricing actions in July to begin to recover that initial wave of inflation. And so the margin in coffee for the quarter, but yet the margin for the entire business for the quarter does reflect that inflation ahead of the pricing recovery.  
 As you think about what's happened since our initial guidance, we began to have weather impacts in Brazil that began to affect the underlying commodity. And as a result of that, we've been managing through how we think about delivering the balance of the year. While we'd like to give you the specifics on our hedging position, we don't disclose that. But what we can share is, is that coffee costs have gone up and that we will take additional pricing actions and measures to ensure that we recover the inflationary impact that we're seeing to the P&L. 
Bryan Spillane: Okay. And then I guess to the extent that the weather has been part of the issue, is there also a -- I guess, a question or pressure around just availability of green coffees? Are you concerned at all about just supply of raw material? 
Mark Smucker: Yes, Bryan, it's Mark. Generally speaking, the frost in Brazil, which is what Tucker was referring to, over a longer period, over a 12-month period is going to have some impact on the amount of coffee that's available. However, as one of the -- we are the largest roaster in the U.S. and one of the larger roasters in the world. We still would be able to get our needs met, but as Tucker referenced, it is going to be at higher prices, which we will continue to manage through our robust set of hedging tools. So we think we can manage through it, but just acknowledge that both just the Brazilian crop as well as some of the ongoing transportation issues are contributing to those costs. 
Bryan Spillane: Okay. And if I could just sneak one last one and just same topic on coffee. Just maybe if you can give us, Mark, some perspective on -- we've had other periods of time in coffee where there's been inflation and the industry has had to price it through and there's been some elasticity. Can you just maybe give us some context in terms of this current situation with costs rising and having to price it through and kind of where the consumer is? Do you expect like this to be an abnormal period in terms of prices going up and elasticity? Or is this a pretty normal sort of course of action for, again, a category that has that pass-through element? 
Mark Smucker: Sure. I guess the headline there would be that as we have managed through this initial phase of pricing, which is now in effect, the elasticities that we have modeled have generally performed as expected. We can't predict what green coffee is going to do over the long term in terms of costs, but we are certainly not at historical highs and so we would anticipate that as we think about further pricing actions and elasticity, that we should be able to manage through that. And even though no elasticity model is ever perfect, we do have confidence that we'll be able to manage through that in a realistic fashion. 
Operator: Our next question today is coming from Alexia Howard from Bernstein. 
Alexia Howard: So can we ask about the -- what the key drivers of uncertainty are, what the biggest risks are, I guess, over the next few quarters? It seems as though the level of uncertainty around -- particularly around supply chain disruption and perhaps the fragility of the supply chain has increased. That feels somewhat different from previous commodity cycles where it was literally just having to handle increased cost pressures and pricing through. Other companies are also saying it's actually physically quite hard at the moment to get products from whether it's ingredients from overseas or whether it's shipping domestically in the U.S. because of the trucking situation. I'm just wondering what you see as the biggest sort of pain points and risks that you're looking at over the next few quarters. What the biggest concerns are at the moment? And I'll pass it on. 
Mark Smucker: Alexia, it's Mark. As we've discussed thus far, we've talked a lot about inflation and cost pressures, and that is of course the primary driver. And then the second one is supply chain, as you noted. I mean if we really want to simplify, it's primarily those 2 factors. There's a lot of unknowns, of course, about the pandemic and what course that may take, so we're watching that extremely carefully. 
 But as to the supply chain, specifically, we do believe that the reason that we have had success is because of our ability to execute and manage the supply chain. There is no question that it is tight and there are a variety of issues, tightness spanning from all the way upstream to all the way to the shelf at the retailer. But I would submit that our team and our people have done such a good job of managing every single step of the way, engaging with suppliers and customers all the way through to the retail shelf that has been key to our success. 
 And so much so that it has allowed us to actually gain distribution at shelf because we generally have been able to deliver to our customers. We've gained some space in recent shelf set resets because of our ability to execute. And so if you think about that factor coupled with our new commercial model, which is truly focused on the retail shelf and delivering, I think that really has been critical to how we've been able to deliver results thus far, and we would anticipate continuing those trends. 
Alexia Howard: And as a follow-up, can I ask about the magnitude of pricing that you're expecting across the portfolio? I mean, obviously, you've got pricing actions that have just gone into place. How much pricing do you anticipate being able to realize over the next few quarters or for the remainder of the fiscal year? And I'll pass it on. 
Tucker Marshall: Alexia, I think the way that we've articulated this consistently is that we're experiencing double-digit commodity inflation that is resulting in high single-digit cost of products, goods sold inflation, which is then resulting in kind of low to mid-single-digit pricing at the total company level. We haven't necessarily disclosed by each given commodity or business the pricing amounts or actions. But that sort of formula should be able to give you a sense. 
 And then I would also share that on an underlying organic basis, we are anticipating at the new guidance range to be up at about 2 points. And as a result of that, you're going to see some top line pricing being offset by some underlying volume as well. And so that should help you get a revised organic of about 2.5%. 
Operator: Our next question today is coming from Rob Dickerson from Jefferies. 
Robert Dickerson: Great. My first question is just a quick follow-up to Alexia's question on the kind of cadence for the year, and then just a question on the pricing. So Tucker, your last answer was helpful in terms of kind of how to think about that magnitude that we're seeing. But kind of more specifically, I'm just curious, can the coffee business actually grow revenue this year, right? And we always sometimes, let's say, see the top line can decline, but gross profit still growing. In this case, just given this near-term pressure on cost, I'm curious, could we be looking at a retail division that's flattish for the year, maybe down a little bit? Because I think that would help us also be able to rightsize the total company as we get through the year. 
Tucker Marshall: Rob, as it relates to coffee and its growth trajectory, I think what we would say is, is that we're probably anticipating kind of flat to up based on what we're seeing today. But that would be inclusive of additional pricing actions. I think it's difficult for us at this point to continue to break down each of the business units. I think we've talked about kind of an underlying organic for total company being up 2.5 points. 
 On the pricing front, just from a cadence standpoint, we took pricing in July. It's reflective, we've discussed that. We've also acknowledged that the additional pricing actions would likely come through in Q2 and Q3. So that also should give you a sense of timing as well. 
Mark Smucker: Rob, I would just -- it's Mark. I would just add one thing on coffee, which is you'll recall that our strategy has been to ensure, number one, that we're participating in all the segments of the category, but also continue to shift the portfolio to the growing segments. So in that case, that being Dunkin', Café Bustelo and K-Cups are all -- all 3 of those are outpacing the segment or the category -- we are outpacing the category, excuse me. And even the Folgers brand has continued to gain share and its growth, particularly in K-Cups, has been strong as well. So we feel like as the portfolio shifts, we are delivering against our strategy. 
Robert Dickerson: Okay. Fair enough. And the follow-up kind of flows to what you were just discussing, Mark. In the prepared remarks, again referencing the coffee business, there's a line that says came in a little bit lower than expectations, right? Just a little lighter. But then there's also the commentary around this increased distribution coming from Folgers. So I'm just trying to kind of rightsize that like why do you think maybe things were a little bit softer than you thought, but then also at the same time, what's really driving that increased distribution on Folgers brand? That's it. 
Mark Smucker: Yes. If you look at coffee on a 2-year basis, in that 2-year stack, we are seeing 8%. So that's obviously very strong. And the distribution gains that were referenced, I think, in the prepared remarks were relative to primarily recent some shelf resets as well as some new pickup at some key customers. So those -- we haven't seen those come through our P&L yet, but that will clearly be a help as we move forward. 
Tucker Marshall: Rob, and I will also just -- Rob, I would also remind you that a year ago, we were experiencing the continued momentum of the early stages of the pandemic into our first quarter and we had the inventory replenishment in the first quarter. So there is a big what we refer to as a COVID lap and particularly for your consumer and coffee businesses. 
Robert Dickerson: Yes. I mean, bottom line, it seems like you can get pricing in coffee that's obviously coming through again once you've lapped the inventory build in Q1 and you get some incremental distribution. It doesn't seem like we're thinking of drastic elasticity as we get through the year. Is that fair? I'll leave it at that. 
Tucker Marshall: The direction that you're sharing seems reasonable. 
Operator: Our next question today is coming from Jason English from Goldman Sachs. 
Jason English: Two quick questions. I know the magnitude of inflation pressure that you're facing in the industry, largest facing, continues to escalate, and it's certainly a lot larger than any of us anticipated a couple of quarters ago. But we've been talking about resumed inflation for about 9 months now, yet you've got almost no price -- not almost -- you have no price rolling through your P&L yet, including areas like pet, where you're actually lapping deflation in the prior year. So what's been the impediment in getting price in the system so far? 
Mark Smucker: There hasn't been any impediment, Jason. Most of the pricing was effective in July broadly, and it's now on shelf. So you're going to see that initial wave coming through in the second quarter. And as we work through some of the additional pricing across our business, as Tucker mentioned earlier, it will be effective likely in the end of the second quarter, the beginning of the third quarter. So yes, we are confident that we will be able to work through that, and that will be reflected. And I'm sorry, the first part of your question, I -- could you repeat? 
Jason English: You answered it. We're good, we're good. So let me actually flip to my second question then. It sounds like, Tucker, just sort of unpacking some of the comments you've made already: pricing, somewhere plus/minus 4%; implying volumes, somewhere minus 1.5 points or so. That looks like a lower elasticity function than you've historically had, which -- I compare it to your trade spend, and last year in your 10-K you disclosed, it's now 39% of sales, which is up, what, 800 basis points from 5 years ago. So you're now seem to be a lot more reliant on promotions to drive volume than you used to be. You look to be the only companies who actually didn't benefit from lower trade rates during COVID. And in the context of that sort of promotional dependence, shouldn't we expect elasticity to be higher than it historically has? What gives you confidence in underwriting sort of a lower elasticity function than history? 
Tucker Marshall: Jason, I would say that on a year-over-year basis, pricing is going to contribute sort of up to mid single-digit growth. And it's going to be offset by sort of low single-digit growth of volume/mix/other. And what you have to be careful about in the volume/mix/other is, one, it's underlying business momentum for the Smucker's Uncrustables brand, continued advancement of Café Bustelo and Dunkin' and advancement of our pet snacks portfolio, along with a return in the Away From Home business. 
 But then it is offset by a decrease in at-home consumption. It is also offset by supply chain disruption, which we are experiencing through our pet food portfolio, particularly in wet pet, and it's also offset by any additional trader promotion like you've talked about. But that trader promotion isn't the biggest bucket of what's causing sort of that change. And then lastly is I would just acknowledge that in our volume mix bucket, we also have factored in price elasticities for our pricing actions across the portfolio. 
Jason English: Okay. Got it. So there's some nice mix benefits in there to contemplate. It's not -- you're not expecting volumes to only be down 1.5 or so. I think that's the answer, correct? 
Tucker Marshall: Correct. There's a big bucket in there, to your point, where there's more than one variable. 
Operator: Our next question today is coming from Pamela Kaufman from Morgan Stanley. 
Pamela Kaufman: Can you elaborate on the factors that contributed to the sizable margin pressure in the pet segment this quarter? This was the lowest operating margin that you've reported in the segment to date. And how are you thinking about your outlook for segment profitability over the course of the year? 
Tucker Marshall: Pam, as it relates to the profitability margin for the pet food segment in the first quarter, you are correct, it did experience a decline quarter-over-quarter. I think you have to acknowledge the cost inflationary pressures in that business driven by the underlying commodities such as animal fats and proteins, along with the impact of transportation. And again, that was ahead of any pricing benefit due to pricing actions that were taken in July. 
 So we would anticipate that the profitability in pet food come back in the back half of the year as pricing begins to reflect a half a year benefit against sort of a partial year first half, and then it will be down year-over-year due to the timing of price recovery against cost inflation. 
Pamela Kaufman: Got it. And then I guess related to that, how are you thinking about your ability to take pricing in pet at a time when the business is underperforming your expectations? 
Mark Smucker: Pam, we have been able to take pricing and pass that through. And as we observe the market, we have seen our peers and competitors do similarly. And so we have confidence that we will continue to do that. And just reminding that pet snacks is really a key part of our strategy, and we do lead there. So we are clearly not only in pet snacks but in other portions of our business have been able to do so. So again, just to point, the headline being that our pet business is performing to expectations with the exception of Nutrish. And so we have delivered against our algorithm on pet. 
Operator: Our next question today is coming from Ryan Bell from Consumer Edge Research. 
Ryan Bell: I was just wondering how you're thinking about some of the structural changes to your demand, not particularly around breakfast and lunch and pet snacks given some of the incremental at-home activity that we've seen. And how is this reflected in your guidance? 
Mark Smucker: Ryan, thanks for the question. It's Mark Smucker again. As I started at the beginning of the Q&A, the demand has generally remained strong. I mean using coffee as an example, 75% of cups consumed are still consumed at home and a lot more brewers in place. Clearly, there are more pets out there. And so pet snacks will continue to do -- will continue to meet our expectations because consumers will continue to treat their pets. And so that will be another one. 
 And then, of course, as I've discussed in the past, even post pandemic, however we define that, one thing is certain which is career professionals are going to continue to work from home more than they did pre pandemic. And that will benefit us because it speaks specifically to breakfast and lunch occasions. So particularly in our spreads, peanut butter and jelly as well as our Uncrustables business, we would expect that to be a positive factor on our businesses. 
Ryan Bell: Is there any sense for the magnitude of some of those impacts that you're modeling into your guidance? Or is that a little bit less so for fiscal 2022 and it's more of a longer-term question? 
Tucker Marshall: Ryan, we are anticipating continued momentum in at-home consumption and our coffee portfolio, as Mark acknowledged, and our consumer portfolio also driven by the Uncrustables brand along with the pet dynamics. And so as we continue to see how the pandemic plays out, as we continue to ensure the investment and reinvestment in our brands for the long-term health of our business and therefore for the benefit of at-home consumption and the stickiness of households that we've gained, we hope to continue that momentum in this fiscal year and beyond. Today is probably not the time to quantify what we think that is, but the momentum that we've generated continues to perform. 
Ryan Bell: That's helpful. And then last question for me. Where do you stand having a normalized SKU assortment given some of the supply chain issues that have been experienced? 
Tucker Marshall: Ryan, what we continue to focus on are 2 things: one is advancement of our strategy and a component of advancing the strategy is our portfolio reshape. And a component of the portfolio reshape is making sure that we have the right SKUs in order to advance the given brand or category and that we would eliminate any unperforming or nonperforming SKUs. And so that remains consistent in any financial plan. 
 And then I would say beyond that, we do continue to look at our inventory levels from a working capital standpoint so that we can continue to ensure that we have the right level of raw material and finished goods in support of our supply chain, but also in support of our customers and consumers. And so those are 2 areas where we continue to focus on in the near term. But right now, we feel very comfortable with the assortment that we have behind the business. 
Operator: I will now turn the floor back over to management to conclude. 
Mark Smucker: Thank you for your time and interest in our call this morning. We do remain confident in our strategy and the delivery of our business, the underlying fundamentals and the fact that we are still able to continue to invest in our business to ensure that we deliver against our strategy. So we hope that many of you will be able to join us virtually for our presentation at the Barclays Global Consumer Staples Conference in a couple of weeks, and hope everyone has a great day and a good weekend. 
Operator: Ladies and gentlemen, this concludes our conference call for today. Thank you all participating, and have a nice day. All parties may now disconnect.